Operator: Greetings. Welcome to Field Trip Health Year End 2021 Earnings Conference Call. At this time, all participants are in listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] Please note, this conference is being recorded. At this time, I’ll now turn the conference over to Elizabeth Barker, Senior Vice President, Investor Relations. Elizabeth, you may now begin.
Elizabeth Barker: Thank you. Welcome everyone to Field Trip’s fiscal year end March 2021 financial results conference call. Before I begin the call, I’m obligated to remind everyone that during the course of this conference call, management may be making some forward-looking statements that are based on current expectations and are subject to a number of risks and uncertainties that may cause actual results to differ materially from expectations. These results are outlined in the risk factors section of our filings and our disclosure materials. Any forward-looking statements should be considered in light of these factors. Please also note a safe harbor, any outlook we present is as of today and management does not undertake any obligations to revise any forward-looking statements in the future. With that out of the way, let me quickly introduce the management team. On the phone with us, we have Ronan Levy, Co-Founder and Executive Chairman; Joseph del Moral, Co-Founder and CEO; Donna Wong, CFO; and Dr. Nathan Bryson, Chief Scientific Officer. I now turn the call over to Ronan to provide some insight into the Company’s strategic direction.
Ronan Levy: Thank you, Elizabeth, and welcome everyone who has joined us for our fiscal year 2021 earnings call. Fiscal 2021 was truly a momentous year for Field Trip. Through the execution of our business plan over the past year, we’ve emerged as one of the foremost players in the psychedelics sector. In a relatively short space of time, we have built out an integrated business focused on the end-to-end development and delivery of psychedelic therapies. This has propelled us into a leadership position in the industry. And as a result, we are receiving significant support as the value of our work is increasingly recognized by other industry players and leading financial institutions. We have attracted world-class scientists, a first-class development team and expert psychotherapists who are all working together to explore the huge potential benefits and wide applications of psychedelics and psychedelic-enhanced therapies. In recent weeks, former U.S. Senate majority leader and preeminent expert on Health Policy Reform, Tom Daschle joined us as a Special Advisor to Field Trip. We are looking forward to working with Senator Daschle to advance society’s understanding of psychedelics and their potentials to revolutionize our approach to mental, emotional and behavioral health. We also crucially have received support from the investment community, including raising $115 million in two bought deal offerings in January and March. Our March bought deal offering was led by Soleus Capital with additional participation from Avidity Partners, Sphera Funds, Pura Vida Investments, Jennison Associates and others. This support and endorsement provided from some of the world’s leading healthcare specialized investors is a powerful validation of our strategy and achievements thus far. We keep our shareholders’ best interest at the heart of our decisions. Earlier this month, we bolstered our Board of Directors with the appointment of Barry Fishman and Ellen Lubman. These appointments complement our existing independent Board members, Dieter Weinand and Helen Boudreau to establish a Board powered by the highest caliber of accomplished pharmaceutical and biotech executives. We also successfully up listed to the Toronto Stock Exchange and are working towards making our shares more accessible to the U.S. investor base. We secured DTC eligibility last month and shortly after that filed an application to list on the NASDAQ. We believe that listing on NASDAQ will unlock various opportunities to enhance corporate visibility, increased liquidity, and brought an overall awareness of Field Trip to a larger investor base while driving value for our shareholders. The psychedelics industry stands poised to disrupt modern psychiatry, and we are positioned to leverage this phenomenal opportunity to build value for our shareholders by executing quickly to continue to leverage our early mover advantage in this industry that is expected to be worth more than a $100 billion according to some estimates. As the second psychedelics industry gains more and more traction, interest in Field Trip continues to increase. In recent months, we have been invited to attend the Jefferies Healthcare Conference, the H.C. Wainwright’s Psychedelic and Psychiatry Conference, the Benchmark Company Healthcare Conference, the Bloom Burton & Co. Healthcare Investor Conference in April and the Canaccord Psych Conference. We’ve also been invited, interviewed on CNBC and featured in Bloomberg as well as making the front page of the New York Times this past month. This is a testament to the strategy we have been building in Field Trip -- this is a testament to a strategy that made building Field Trip into nothing less than a world-class leader in the mental and behavioral health sectors through our pioneering work with psychedelics and psychedelic therapies. As a result of the groundwork laid last year, we expect to complete our preclinical studies by the end of this calendar year or early next year, expand our drug development pipeline and leverage our clinic networks to further validate our positive clinical outcomes. With that, I’ll turn the call over to Joseph del Moral to discuss our recent operational achievements and to lay out our strategic objectives for fiscal 2022.
Joseph del Moral: Thank you, Ronan. As Ronan mentioned, we are building out complementary business lines that focus on both, the development and delivery of psychedelic therapies. This deeply integrated platform combines drug and product development, psychedelic-enhanced therapy and technology-enabled virtual care solutions allow Field Trip to capture the full therapeutic potential of psychedelics and to deliver valuable results to people in need. I’m going to start by talking about our Field Trip Discovery business unit, which is developing a next generation synthetic psychedelic molecule FT-104. Conceptually, FT-104 is based on classical serotonin 2A psychedelics as well as lesser known synthetic substances with known hallucinogenic properties. A provisional patent pending for FT-104 structure, formulation and use in treating a variety of central nervous system disorders was filed at June 2020.  With FT-104, our attention is to develop a novel psychedelic molecule that is easy to synthesize, has low risk of addiction that offers a similar potency and experience to psilocybin, but has a much shorter duration to make it more clinically efficient and accessible. During fiscal Q4 scale-up batches and engineering batches were completed, which have given us a better understanding of the process chemistry and methods for isolation and purification of the molecule at larger scale. During the quarter, we developed analytical controls to properly characterize the drug substance initiated formal stability testing, CMC, chemistry manufacturing and controls of the drug substance and the drug product and started drug product formulation to develop dosage forms for administration of FT-104. We also conducted several preclinical activities during the quarter, including in vitro and in vivo studies. The results were very encouraging and suggest that FT-104 meets all the criteria indicating that FT-104 is a strong 5HT2A receptor agonist. They can be delivered with high bioavailability and will produce reliably short duration of psychedelic experience in the range of two to four hours. This is approximately half the duration of psilocybin and would make it a practical alternative with greater utility. The synthesis of FT-104 has been optimized scale to kilograms size and production is ready to commence under GMP control as well as the furtherance of the preclinical data package needed for human clinical studies. Additional preclinical studies are ongoing or planned in toxicology, safety pharmacology and general toxicity. These studies are expected to be completed before the end of calendar Q4 2021. There have been several minor delays due to the impact of COVID. We have attempted to minimize their impact on the overall research schedule. With these steps, we are putting the pieces in place to submit our applications to start Phase 1 human trials, which we now expect will commence in the first quarter of calendar 2022 and will determine the safe and tolerable range of doses of FT-104 that can be used in future Phase 2 development where the drug’s efficacy can be evaluated. We are also working toward expanding our drug development pipeline and have undertaken additional scientific, commercial and business development activities during the quarter, including entering into licensing and partnering discussions, as well as synthesis of novel patentable 5HT2A agonist families of molecules that improve convenience, safety and/or efficacy of psychedelic medicines and therapies. We intend to add at least one new molecule to the development pipeline before calendar year-end. We continued with our research into psilocybin with the official opening of the Field Trip Natural Products Limited Research and Development Laboratory for Psychedelic Fungi in Mona, Jamaica in February of this year. The research facility is part of Field Trip’s previously announced strategic partnership with the University of West Indies, which we believe is the world’s first legal research and cultivation facility dedicated exclusively to psilocybin producing mushrooms and other plant-based psychedelics. The research is expected to further our understanding of techniques for the production of mushrooms with reproducible yields and quality, clean processes for production, storage, packaging and stability, as well as analytical methods needed for complete characterization, including methods to demonstrate food safety. We currently have several psilocybin mushroom varieties in cultivation. These efforts will position Field Trip to be able to efficiently explore new opportunities in this emerging industry. Now to talk about our Field Trip Health Centers. Field Trip Health Centers are our delivery arm and dedicated to the treatment of depression and other mental health conditions using proprietary protocols and settings with ketamine-assisted therapies. Our Field Trip Health Centers hold significant strategic value and that they enable us to collect large amounts of data for patients on clinical outcomes associated with a set setting and therapeutic protocols of psychedelic therapies. This data allows us to not only identify areas of unmet need in psychedelic therapies, but also innovate new models and protocols. In fact, based on the insights derived from our operations and the demand from different patient demographics, we are pleased to announce the launch of two new programs that will be offered through our centers, group Ketamine sessions and continuing therapy post-treatment for patients who have completed our therapeutic programs. We will continue to leverage the data collection and insights generated from our expansion to enable us to innovate new treatments, new offerings and increase operational efficiency. Through our Field Trip Health Centers, we are also creating real world impact on the lives of our patients. Since launch, we’ve seen remarkable success with our ketamine-assisted therapies. Most of our patients are experiencing a significant improvement in depression and anxiety scores, often from severe levels that then take too minimal upon program completion. These outcomes have enabled us to generate a Net Promoter Score or NPS amongst patients who have completed our therapies of plus 66. NPS is a well-recognized metric for measuring customer loyalty. It is based on patient feedback scores ranging from 0 to 10 for how likely they are to recommend Field Trip to their friends and colleagues. According to Survey Monkey’s global benchmark data, the average NPS score for businesses is plus 32. We feel that our results to-date validate our belief in the value of our early mover strategy, and that our early mover strategy will also position as well as MDMA and psilocybin are expected to receive FDA approval in the next two to five years. We are implementing a rollout of clinics across North America and Europe to position Field Trip as the leading global brand of trusted clinics for psychedelic-assisted therapies. We are providing ketamine-assisted therapy in North America, and psilocybin-assisted therapies in the Netherlands for the treatment of depression, anxiety, and other conditions. During the fourth fiscal quarter, we completed construction and opened our Atlanta location and completed construction of the clinic in Amsterdam, and we’re in the process of setting up operations. Subsequent to the quarter-end, Field Trip opened it sixth clinic, this time in Houston, Texas. Construction has commenced or will soon commence on the previously announced locations in San Diego, San Carlos, Seattle, Washington DC, and Fredericton, New Brunswick. We are also pleased to announce that leases have been signed for Field Trip Health Centers in Stamford, Connecticut; Austin, Texas; and Vancouver, BC. We remain on pace to open or begin construction on a total of 20 clinics by December 2021. Lastly, during the year, we developed valuable tools which enable us to constantly learn and innovate with all forms of legal psychedelic therapies. They form a critical link in our ecosystem, enabling us to leverage the experience, data and knowhow developed by our clinical staff in our ketamine-enhanced therapy locations to provide actionable insights for our business. Field Trip has developed two digital tools, first is Trip, a mobile software application that enables users to make the most of self-directed consciousness expanding activities, such as meditation and breath work. In the fourth fiscal quarter Trip app’s user base grew by 57% from the third fiscal quarter. We plan to release a Trip premium version before the end of calendar 2021. Our second digital tool is Portal, a proprietary digital tool designed to complement the in-person therapeutic experience. Portal provides users with content, information, meditations, and synchronous and asynchronous communication tools for people in our psychedelic therapy programs. We will continue to make further enhancements to Portal. With that operational overview complete, I will turn the call over to Donna Wong, our CFO, to recap our financial results from the quarter.
Donna Wong: Thank you, Joseph, and good morning, everybody. For our fourth fiscal quarter ended March 31, 2021, our patient services revenues increased 66% from $316,000 in our third fiscal quarter to $526,000. We earned revenues from our Toronto, New York, Santa Monica, Chicago, and Atlanta clinics. Net loss for our fourth fiscal quarter of 2021 of $7.9 million or $0.18 per share was primarily due to general and administration expenses of $4.6 million, research and development expenses of $872,000, sales and marketing expenses of $675,000, and patient services expenses of $586,000, which were driven primarily by our focus on building a globally recognized brand of psychedelic-assisted therapy center. Net loss for our prior year’s fourth fiscal quarter of 2020 of $891,000 or $0.05 per share was primarily due to general and administration expenses of $1.1 million, and sales & marketing expenses up $166,000. During our fiscal year ended March 31, 2021, we earned patient services revenues of $961,000 from our Toronto, New York, Santa Monica, Chicago, and Atlanta clinics, despite a temporary closure in Toronto from March to May of 2020, and Chicago and Atlanta only starting to contribute revenues beginning in March 2021. As a reminder, after each clinic opens, there follows a planned ramp up in the number of patients seen per month. The ramp-up at each clinic is forecasted to take on average 15 months to break even from the first date of dosing. This controlled growth allows us to scale all aspects of the operation, including hiring and training new therapists while still providing a very high level experience to each client and patients. We expect to scale our revenue as the number of patients treated at our locations increases and with the addition of our Houston location, which just began treating patients in May of 2021. We will continue our rollout of clinics across North America and Europe with a total target of 20 clinics open or under construction by December 2021. Net loss of $23 million or $0.70 per share for fiscal year 2021 was primarily due to general administration expenses of $11.2 million, research and development expenses of $3.4 million, sales and marketing expense of $1.6 million, patients services expense of $1.5 million, and depreciation and amortization of $1.4 million. Net loss for the prior year ended March 31, 2020 of $2.6 million or $0.26 per share was primarily due to general and administration expenses of $2.3 million, occupancy costs of $317,000, sales and marketing expenses of $305,000, research and development costs of $193,000, and depreciation and amortization of $146,000, partially offset by realized foreign exchange of $668,000. On January 5, 2021, the Company closed the bought deal offering and issued 4.4 million units at a price per share a $4.50 for gross proceeds of over $20 million. Each unit comprised one common share of the Company and one-half of one common share purchase warrant. Additionally, on March 17, 2021, we completed a bought deal offering resulting in the issuance of over 14.6 million common shares of the Company at a price of $6.50 per share for gross proceeds of $95.3 million. Each compensation warrant is exercisable to acquire one common share at an exercise price of $6.50 per share until March 17, 2023. As at March 31, 2021, our unrestricted cash and cash equivalents balance funds in trust and short-term investments is at $111.8 million compared to last year’s balance of $9.6 million. The strong cash position will help to facilitate the execution of our strategic plan, which is centered around leveraging our deeply integrated platform and combined drug and product development, psychedelic-assisted therapies and technology enabled virtual care solutions to further our mission to bring psychedelic-based treatments to a broader audience. For further information on our financial and operating performance, I encourage you to review the Company’s financial statements and management discussion and analysis for the fiscal quarter and year ended March 31, 2021, which has been filed and are available through SEDAR at www.sedar.com. I will now ask the operator to open the lines for questions and answers. Thank you.
Operator: Thank you. At this time, we’ll now be conducting a question-and-answer session. [Operator Instructions] Our first question is from the line of Andrew Partheniou with Stifel. Please proceed with your questions.
Andrew Partheniou: Hi. Good morning and congrats on your quarter. Maybe just to start off with a housekeeping item. Donna, could you just confirm if there were any kind of one-time or non-recurring items in Q4?
Donna Wong: Absolutely. So, on the OpEx line, Andrew, there was approximately $200,000 in costs relating to professional fees for the January and March bought deal offerings. If you look at our financial statements for our fiscal year end, you will also see that we accrued some liabilities relating to those transactions, which will flow through on our cash flow in the next quarter. So, on our accounts payable, we had accrued approximately $250,000, and then in accrued liabilities we had about $900,000 for the January and March bought deals for a total of about $1 million.
Andrew Partheniou: Okay. Thanks for that color. And maybe just starting off discussing your clinics, they were ramped up pretty well in the quarter, it seems especially when you consider that Chicago and Atlanta only started contributing towards revenues in March. I’m not sure if you disclosed this, but can you talk about where you are in terms of capacity and those first three clinics right now?
Joseph del Moral: We haven’t disclosed that. But, what we’re seeing is that the ramp continues at all of our clinics. The ramp that we originally forecasted before the pandemic is probably a little bit longer than we expected for Toronto and New York clinics in terms of getting to breakeven, but they’re still growing and we still have capacity to see new patients and we’re actively sort of marketing and increasing our outreach efforts. 
Andrew Partheniou: Okay, perfect. And talking on that same line of thought, could you maybe talk a little bit about what you’re seeing on the ground in terms of easing of COVID restrictions, and are you seeing any kind of acceleration maybe of patient visits in line with the timing of easing COVID restrictions?
Joseph del Moral: So, COVID has affected in a couple of ways. First, on the actual ability to keep the clinics open, we, for the most part, except for some closures -- isolated closures in different cities, we’ve been able to keep the clinics open as an essential service, where we’ve seen the biggest impact on our operations has been in the build-out phase of each clinic after we sign a lease. So, one of the delays we’re seeing is with permitting, to get permits for construction on new clinic space. Permitting offices have over the COVID restrictions often been closed or delayed. So, we’ve had significant delays in getting permits in some locations and then construction availability of materials, different things that resulted in a longer time period from lease signing to clinic opening, because of COVID. So, we’ve seen that sort of get pushed out. We’ve also seen that just anecdotally hearing from patients who were concerned over the course of the pandemic to come into the clinic because of concerns around COVID. So, it’s affected, we believe it affected the ramp in that way. Too early for us to tell, if that has eased yet, but it’s something we’re looking at closely.
Andrew Partheniou: Okay, perfect. And you guys included some new programs in your clinics, group therapy. And I think you mentioned on the call, ongoing maintenance treatments for ketamine after a patient has completed their full treatment. Is there anything that you can share in terms of how many patients or the proportion of patients, or perhaps how often do they come back after they complete a full treatment?
Joseph del Moral: Yes. So, I’ll start by talking about the group ketamine-assisted therapy, which we’ve piloted in a couple of clinics, and we’ll be rolling out to all of our clinics during the next few months, we’re excited about that. It creates a new offering that for the people in our pilot program, the feedback we received was overwhelmingly positive, created positive outcomes. And we’re also able to offer it at approximately half the cost of one-on-one sessions, and we do those groups of four to start and that we’re still innovating on. And the ongoing therapy is that we have a couple of different options there. One is a one-on-one ongoing therapy, and we’re also offering group integration therapy for people who’ve completed the program. We’re launching those in all the clinics as well. In terms of uptake, it’s too early to say anything for those two programs. What we are seeing is -- we’re starting to see is a pretty good percentage of patients are starting to come back for booster sessions, somewhere in the one to three months post their last dose in our regular program. And we’ll update more on that as we get more data.
Andrew Partheniou: Great color there. Thank you very much for that. Maybe one more for me before I get back in the queue here, just on the novel drug pipeline there that seems like a very interesting development, where you’ll add another patentable novel molecule over the near and medium term here. Could you maybe discuss your overall strategy with the next chosen molecule? What are you looking for in an ideal drug candidate? Are you thinking about discovering this molecule yourself, or perhaps acquiring existing research or IP? Any more color on that would be helpful.
Joseph del Moral: Thanks Andrew. For that, I will hand it over to Dr. Nathan Bryson, our Chief Science Officer.
Dr. Nathan Bryson: Good morning, Andrew. For now, I’d say, all the avenues are open, and we’re exploring them all. We are -- we have open discussions with several companies about potential molecules, as well as doing internal research on our own. The angles and our strategies that we’re looking at are trying to improve safety while still maintaining the short trip time. And those safety aspects could be either through improvements around 5HT2B type activity, which has cardiovascular safety risks associated with it when used in chronic mode. So, that kind of research might open us up to molecules that could be used a little bit more chronically or more frequently, if needed, as well as looking at things that might not have the same psychedelic potential. So, those are just avenues that we’re looking at for now. And we’ll keep you posted as we get further into this and find new additions to our pipeline.
Andrew Partheniou: Thank you very much for that. And I’ll get back in the queue here.
Joseph del Moral: Thank you, Andrew.
Operator: Our next question is from the line of Elemer Piros with Roth Capital. Please proceed with your question.
Elemer Piros: Yes. Good morning. So, just following up on Andrew’s questions, Donna, also housekeeping in nature. So, if we are looking at G&A occupancy costs, sales and marketing in the fourth quarter, did you see anything anomalous there, or shall we expect these numbers to continue to grow into the first and second and third quarter?
Donna Wong: Yes. You should see those numbers continue to grow. I mean, I think from a total OpEx perspective, for the first half of 2021, we’re averaging between $2 million to $3 million a month. And then, you’ll see that ramp increase in the second half of the year, as we continue our focused development on FT-104.
Elemer Piros: Okay, got it. And one line item patient services expense actually declined. Was that the anomalous? And how should we think about that going forward?
Donna Wong: So, the patient services expense includes all costs that are directly related to earning patient revenues. I do think it was anomalous for this quarter.
Elemer Piros: Okay. And one last housekeeping item, if you could tell me what the weighted average shares outstanding was for the fourth quarter? If you have that at your fingertips.
Donna Wong: Okay. Bear with me a second.
Joseph del Moral: How about we get back -- how about we send you that number?
Elemer Piros: Sure. And just a generic question. What is your best performing location right now? And how far from breakeven that particular location is? Is it half-way through there or if you could characterize it generically, please?
Joseph del Moral: Sure. Generically, our best performing locations are our oldest, this further along the ramping curve, so that that’d be Toronto and New York, which are two first clinics that we opened. In terms of how far long they’ve been opened? So, Toronto really started about in June of last year. So, it’s just about a year of operations. And we always said generically is that on a go-forward basis, we expect on average our clinics to hit breakeven in 15 months. I don’t have a specific data around that I think about and no specific forecast around the Toronto clinic. But generically, 15 months average from first dosing is what we’re expecting for a breakeven.
Elemer Piros: Okay. And is there a difference in pricing of the services in Canada, the U.S. and in Europe?
Joseph del Moral: The price is -- so in Canada and the U.S., the price is approximately the same in local currency. In Europe, the price is -- the program offered is completely different. It’s psilocybin-assisted therapy, we don’t yet offer ketamine-assisted therapy in the Netherlands. So, the pricing is completely different there. Was there a second part of that?
Elemer Piros: No, just, if that is at a premium or at a discount to the U.S., Canadian pricing?
Joseph del Moral: Right, yes. It’s the same in local, it’s the same dollar amount, but in local currency.
Elemer Piros: And one last question, and thank you for all the color. In normal times when permitting is not an issue, what is the lead time from -- or the time for lease signing to the first patient that you see? So, how long the construction phase does it take in these locations?
Joseph del Moral: That takes -- well, for that, I’ll hand it over to Hannan Fleiman, our President, who’s leading that part of the business.
Hannan Fleiman: Sorry. Can you please repeat the question?
Elemer Piros: During normal times, when permitting and bureaucracy is not an issue, how long would it take from lease signing to see the first patient to refurbish or to construct the clinic?
Hannan Fleiman: Right. It’s about five to nine months, depending on the clinic location, how much construction needs to be done and how many permits.
Elemer Piros: And one last question. When do you see -- or when do you hope to see any office action on the patent application? Is it this year or is it predictable?
Joseph del Moral: Look order back to Nathan for that.
Dr. Nathan Bryson: In general, office actions are not predictable. Usually they can take three to four years. But, what we plan on doing, -- so what we plan on doing is after we file the utility patent, which actually will be at the end of this month, it is likely to file track one for one year review, so that we would have formal approval or at least that final decision on the patent within the one year period. So, that would be June 2022.
Operator: Thank you. Our next question is a follow-up from the line of Andrew Partheniou with Stifel. Please proceed with your question.
Andrew Partheniou: I apologize for that. I was on mute there. Thank you so much for taking my follow-up questions. I was just curious on your NASDAQ listing. Could you tell us what the next steps are? And, obviously this is something that is very difficult to predict. But, do you have a best guess of when do you think your stock may go live on the NASDAQ?
Joseph del Moral: Thanks for this question, Andrew. I guess, that one is a lot. How I can really say is that we’re following the MJDS pathway that allows a senior listed company in Canada to cross us to the U.S. and vice versa. The path is very efficient, but we don’t have a specific date yet that we can disclose.
Andrew Partheniou: Okay. And maybe to the extent that you can, if any, could you provide any kind of updates on what’s going on in Oregon? It’s still, obviously relatively early days there on the establishment of the medicinal market, but just wondering if you have any color that you could provide there?
Joseph del Moral: Sure. For that, let’s go to Ronan.
Ronan Levy: Thanks, Andrew. We do have ongoing conversations with people, who are either peripherally involved or actively involved with the process in Oregon. And overall, things seem to be moving relatively smoothly for bureaucratic processes, particularly something as novel as this. There’s nothing that at least so far has been identified as a red flag or potential challenges for meeting the timelines. But, I don’t have anything specific or concrete to offer and it seems to be proceeding well, and we continue to monitor the developments as they occur.
Andrew Partheniou: Okay, great. And just the last one is, you guys have a robust cash position right now. You’ve gone through a lot of activities that you’re expecting to complete. With the cash position that you have now though, could you maybe outline or remind us, which activities do you expect to finish with that cash position, and perhaps how long can that last, and as well, if there’s any kind of overall M&A potential in the future?
Joseph del Moral: Thanks, Andrew. Our current cash position funds the build-out of all of our 75 clinics, and that worked the way we have planned all the supporting technology as well as gets us through our Phase 2 proof-of-concept trial and still leaves us with the cash position at the end of that. So, we feel we’re in a healthy cash position for now. In terms of M&A, we are monitoring the industry and opportunities and we do look at things. My general sense is that there’s been nothing overly interesting yet, but we’ll keep an eye out and act strategically if we do see opportunities.
Operator: Thank you. At this time, I’ll turn the floor back to Ronan Levy for closing remarks.
Ronan Levy: Thank you. And thank you to everyone who has dialed in and asked questions today. As you can tell, we are making rapid progress across each of our business arms, have put in place a strong foundation on which to build value. Clinical psychedelics industry is emerging as potentially the most important platform to address the growing mental health crisis, gaining traction and credibility amongst scientists and regulators and investors alike. Our mutually reinforcing business goals and their synergies are working in concert to advance our understanding and application of psychedelics and their therapeutic potential positioning us at the forefront of this emerging industry. As the psychedelics industry continues its revival, there is much -- there is more and more research taking place that backs up our belief that FT-104 has a product profile that can be used for the treatment of depression and other mental health illnesses. Recent results published in the New England Journal of Medicine confirmed that the 5HT2 agonists psilocybin is at least as efficacious as daily administration of escitalopram in a small randomized clinical trial, examining the treatment of depressed patients. Clinical studies on psilocybin and other plant-based psychedelic compounds have shown that they have great potential to produce profoundly positive changes in individuals, particularly those struggling from serious mental health conditions, such as anorexia, depression and PTSD. Through our clinical development of FT-104 and our research in Jamaica, we are laser-focused on developing new psychedelic molecules and products. At the same time, our Field Trip Health Centers are bringing therapies to an ever increasing patient population. And our digital tools business arm is collecting data that will enable us to enhance our offering, track results and bring more people into the Field Trip ecosystem. Thank you to our shareholders for their support as we continue to expand our operations and build value. With that I’ll turn the call back to the operator to close the lines.
Operator: Thank you. This concludes today’s conference. You may now disconnect your lines at this time. Thank you for your participation.